Operator: Good day, and welcome, ladies and gentlemen, to the Acacia Research 2019 Quarter Three Earnings Call. At this time, I would like to inform you that this conference is being recorded. [Operator Instructions] I would now like to turn the conference over the Rob Fink. Please go ahead, sir.
Rob Fink: Thank you, Operator. Hosting the call today are Clifford Press, Chief Executive Officer and Al Tobia, President and Chief Investment Officer. Before beginning, I would like to remind you that information provided during this call may contain forward-looking statements relating to current projections, estimates, forecasts and projections about future events that are forward-looking as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally relate to the company's plans, objectives and expectations for future operations are based on the current estimates and projections, future results or trends. Actual results may differ materially from those projected as a result of certain risk factors and uncertainties. For a discussion of such risk factors and uncertainties, please see the risk factors described in Acacia's annual report on Form 10-K and quarterly report on Form 10-Q that are filed with the SEC. In addition, during the call, the company will present non-GAAP financial measures. Please refer to our disclosures regarding the presentation of non-GAAP financial measures and other notes that were included in this morning’s press release and the 8-K that was filed with the SEC. I would like to remind everyone that a press release disclosing the company's financial results was issued this morning before the market opened, which may be accessed on the company's website at acaciaresearch.com under the News & Events tab. With all that said, I would now like to turn the call over to Al. Al, the floor is yours.
Al Tobia: Thank you Rob, and good morning everyone. This was another quarter of progress for Acacia. As we continued to advance our strategic transformation, specifically during the third quarter, we established an executive leadership team and further rationalized our legacy investment portfolio. We now have the right team in place with a focused strategy to diversify our business and build our portfolio of intellectual property related absolute return assets. In a dislocated an undervalued industry, Acacia is differentiated. We have $169 million in cash and marketable securities. We have 242 million in federal and state net operating loss carry forwards that expire between 2026 and 2038. Additionally we have $51 million in foreign tax credits. Most importantly, we have investments, technology, life science and transaction skillsets both in Senior Management and the Board, which we will apply as we move forward. We believe the IT investing landscape offers attractive potential returns for a well capitalized company with a prudent asset allocation strategy. We are actively advancing on a number of opportunities of potential acquisitions and strategic partnerships. We are eager to provide updates on these opportunities as they develop and are confident in our strategy and focus. I'd like to now to turn the call over to Clifford for a review of our Q3 results.
Clifford Press: Thank you, Al. Good morning. I will provide an overview of the third quarter financial results, but more detail is available in the press release issued today and also in the upcoming quarterly report on form 10-Q which we will file with the SEC later today. During the quarter, we sold the position in Miso Robotics for $2 million, thus exiting this position. This contributed to the $4.4 million quarter-over-quarter increase in cash and short-term investments. We ended the quarter with cash and short-term investments of $169.3 million, which is up by $34.4 million since the second quarter of 2018, when Al and I first joined the board. The existing portfolio of Acacia has a limited number of remaining licenses to be negotiated and we did not generate significant revenues during the quarter. Further we believe the timing and magnitude of the remaining legacy revenues for the full year will be less than previously anticipated. Accordingly, we are reducing our full year revenue guidance from approximately $25 million to between $15 million and $20 million. I'd now like to open the call for questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Brett Reiss with Janney Montgomery Scott.
Brett Reiss: Good morning, Al; good morning, Clifford. How you’re doing?
Al Tobia: Good morning Brett, how are you?
Brett Reiss: Good. Can you give us any color on the patent intake that occurred this quarter?
Clifford Press: We didn't have a substantial amount of patent intake, we’re working – as Al referred to, we expect, we're working on some significant acquisitions and some of those will be patent assets and we expect, we're actively working on those that, so we hope we’ll have something to announce shortly.
Brett Reiss: Okay. And just a kind of broad overall question, when I attended the annual meeting, there were three broad categories that you were working on to enhance shareholder value, more patent intake, possibly farmer royalties and consolidation opportunities. Now that you've been actively pursuing all three categories, what can you say are the speed bumps to progress in any of these category of initiatives that you're running into?
Clifford Press: I wouldn't say those are the speed bumps, they were doing it all from the standing stuffs. So we built a team and once Al and I committed to this during the quarter, we expect to be able to making significant progress from, yes, this has been some time to put the company in the position where it is now it's cleaned up, has all the assets that it needs and is working on partnerships in the beginning of the process of building the new IP related absolute return as a strategy.
Al Tobia: But I'd add Brett, you're correct in what you identified are areas of focus. And unfortunately we did not close anything there in the quarter, but we are active in terms of – in those three areas
Brett Reiss: Of the three areas in the next, let's say one or two quarters, where do you think we'll see something concrete that you can release and be proud about?
Clifford Press: Well, we'd rather talk about that afterwards, Brett that in advance.
Brett Reiss: Alright, fair enough. I'm going to drop back in queue.
Al Tobia: Thank you.
Operator: We have no more questions in the queue at this time. Ladies and gentlemen, this concludes our conference for today. Thank you all for participating and have a nice day. All parties may now disconnect.